Operator: Ladies and gentlemen, thank you for standing by. Welcome to Elbit Systems Fourth Quarter and Full Year 2020 Results Conference Call. All participants are present in listen-only mode. Following management’s formal presentation, instructions will be given for the question-and-answer session. As a reminder, this conference is being recorded. You should have all received by now the company’s press release that is available in the News section of the company’s website at www.elbitsystems.com. I would now like to hand over the call to Rami Myerson, Elbit Systems Investor Relations Director. Rami, please go ahead.
Rami Myerson: Thank you, Operator. Good day, everyone. And welcome to our fourth quarter 2020 earnings call. On the call with me today are Butzi Machlis, our President and CEO; and Yossi Gaspar, our Chief Financial Officer. Before we begin, I would like to point out that the Safe Harbor statement in the company’s press release issued earlier today also refers to the contents of this conference call.  As we do every quarter, we will provide you with both our regular GAAP financial data, as well as certain supplemental non-GAAP information. We believe that this non-GAAP information provides additional detail to help understand the performance of the ongoing business. You can find all the details GAAP financial data, as well as the non-GAAP information and the reconciliation in today’s press release. Yossi will begin by providing discussion of the financial results, followed by Butzi who will talk about some of the significant events during the quarter and beyond. We will then turn the call over to a question-and-answer session. With that, I would like now to turn the call over to Yossi. Yossi, please?
Yossi Gaspar: Thank you, Rami. Hello, everyone, and thank you for joining us today. The results of the fourth quarter reflect the resilience of Elbit Systems, our balance geographical footprint and broad portfolio of advanced technological capabilities and solutions. These had helped us sustained demand for our solutions and services in the period of increased uncertainty caused by COVID-19 pandemic, The rollout of COVID-19 vaccines is encouraging. We continue to monitor the situation closely, while adhering the instructions of the government of the various countries in which we operate. Turning now to our results, we are pleased with them and with the performance of our subsidiaries around the world during the year that was heavily impacted by the pandemic. The subsidiaries has been monitoring and maintaining close contact with our customers worldwide in these challenging periods. Our order backlog and revenues increased year-over-year in comparison with previous quarter. We maintain profit margins in line with 2019 and improved cash generation due to an increased focus on operations, as well as measures we implemented to mitigate the financial impact of COVID-19 pandemic. I will now highlight and discuss some of the key figures and trends in our financial results. Fourth quarter revenue of $1,378 million increased 4.3% year-over-year. For 2020 as a whole, our revenues were $4.66 billion versus $4.5 billion last year, representing a growth of 3.4%. In terms of annual revenue breakdown across the areas of operation, airborne systems accounted for 35% of our total annual sales and increased year-over-year mainly due to precision munitions and training and simulation. Electro-optics accounted for 10% of total sales and increase year-over-year mainly due to the acquisition in 2019 of Elbit Night Vision in the U.S. Land system sales accounted for 27% of total annual sales and increased year-over-year mainly as a result of revenues at IMI acquired in 2018. C4ISR a 25% of sales declined year-over-year, primarily due to lower radio sales to Asia-Pacific. Our diverse geographic revenue base is important to the long-term sustainability of our business. In 2020, North America was the largest contributing 32% of revenues, Israel was 24%, Asia-Pacific 21% and Europe 18%. The growth in North America was primarily due to increased airborne system sales and the sales of Night Vision systems. The growth in Israel was mainly due to land systems. Compared with the fourth quarter last year we saw strong growth in North America that more than offset lower sales in certain other markets. This reflects the phasing of programs and payments to fluctuate from quarter-to-quarter. We believe the longer term trends are more representative of our business. The non-GAAP gross margin for the fourth quarter was 26.3%, compared with the fourth quarter of 2019 of 26.2%. For the full year of 2020, non-GAAP gross margin was 26.7%, compared with 26.9% last year. Non-GAAP gross margin in 2020 reflect an unfavorable program mix and cost incurred due to the COVID-19 pandemic. This were largely offset by the cost control measures we implemented to help limit the financial impact of the pandemic. GAAP gross margin in the fourth quarter of 2020 was 26% of revenues, compared to 21.5% in the fourth quarter of 2019. That includes a $55 million of reorg -- charge of reorganization charges related to the acquisition of Elbit Night Vision. GAAP gross margin in 2020 was 25%, compared with 25.2% in 2019 for the fourth quarter. GAAP gross profit in 2020 included non-cash expenses of approximately $60 million as a result of the non-cash expenses related to inventory write-offs and asset impairments in our commercial aviation activities due to the impact of COVID-19 and in 2019 GAAP gross profit was impacted by ENV reorganization charges as mentioned above. The fourth quarter non-GAAP operating income was $113.8 million or 8.3% of revenues, compared with $125.4 million or 9.5% of revenues last year. Margins declined year-over-year due to higher R&D and G&A expenses in the quarter. G&A expenses in the fourth quarter of 2019 benefited from income related to a litigation settlement in the U.S. Non-GAAP operating income in 2020 was $390.1 million or 8.4% of revenues, compared with $379.7 million or 8.4% of revenues last year. GAAP operating income was $325.7 million versus $321.6 million last year. I am pleased that we successfully maintained operating profit margins in 2020 at 2019 levels despite the challenges presented by the COVID-19 pandemic and the additional cost incurred. GAAP operating income for the fourth quarter was $104.6 million versus $63.6 million in the fourth quarter of last year that included the ENV reorganization charges. The operating expense breakdown in 2020 was as follows. Net R&D expenses increased to 7.7% of revenues versus 7.4% in 2019. Our investment in R&D enables us to maintain and build our technological leadership and underpins our long-term prospects. Marketing and selling expenses declined to 6.2% of revenues versus 6.7% last year due to reduced travel and participation in trade exhibitions. G&A expenses were 4.8% of revenues similar to last year. Financial expenses were $32.5 million in the fourth quarter, compared to $16.4 million in 2019. The increase was mainly due to charges in the shekel-dollar exchange rate in the period. Financial expenses in 2020 were $71.3 million, compared to $69.1 million last year. The effective tax rate for 2020 was 13.9%, compared to 7.9% in 2019. Taxes on income in 2019 were reduced following a settlement with the Israeli Tax Authorities related to adjustments for prior years. We recorded the tax expense of $1.9 million in the fourth quarter, compared to tax income of $9.1 million in 2019 due to the adjustments for prior years as mentioned above. During the second quarter of 2019, Elbit Systems raised approximately $185 million through the sale of treasury shares to institutional investors in Israel. This increased our share count by about 3% to 44.2 million shares, having a slight corresponding impact on our earnings per share relative to last year. Our non-GAAP diluted EPS was $2.38 in the fourth quarter and $7.20 for 2020 as a whole. GAAP diluted EPS for the quarter was $1.53 and $5.38 for the full year. Our backlog of orders as of 20 -- as of December 31, 2020, was approximately $11 billion, $1 billion higher than the backlog at the end of 2019 and $166 million higher than the -- that at the end of the first quarter of 2020. This represents an attractive book-to-bill ratio of 1.21. Approximately 65% of the current backlog is scheduled to be performed during 2021 and 2022 and the rest is scheduled for 2023 and beyond. This breakdown is similar to that of the fourth quarter last year. The order backlog is equivalent to more than two years of revenues and provides good visibility for future revenues. Operating cash flow for the fourth quarter was $172 million inflow, compared with $87 million in the same quarter last year. For 2020 as a whole, we reported $278 million operating cash flow inflow versus $53 million outflow in last year. Operating cash flow benefited from customer advances received in the fourth quarter. The phasing of cash flow remains dependent on timing of payments mainly from the Israeli Ministry of Defense. The Board of Directors declared a dividend of $0.44 per share for the fourth quarter of 2020. I will now turn the call over to Mr. Machlis. Butzi, please?
Butzi Machlis: Thank you, Yossi. I am very pleased with the significant volume and value of contracts we announced in supporting our third quarter results overall. These contracts provide an encouraging indication or sustaining demand from our customers. Many of these are strategic and will provide Elbit with strong market positions and multiyear value instruments. Our software defined tactical radios, tactical acquisition system and tablet computers are important building blocks for the command and control solutions we provide militaries around the world that enable them to conduct multi-domain operation. The multi-domain operation is required the ability to connect different capabilities, sensors and weapon, so an integrated and resilient network of Elbit Systems provide to numerous customers around the world. In December, we signed a US$338 million contract with the Swiss Department of Defense to provide the Swiss Armed Forces with an army-wide tactical mobile Software Defined Radio network solution. The contract followed the election at the end of 2019 after a rigorous evaluation which finds that our systems provide a better price performance ratio over the competition. In November we received a contract from the Spanish Army to supply E-Lynx Software Defined Radio for the combat battalion of the Spanish MOD. The new radio network for the battalion level is a first step in the Spanish combat radio network modernization program. Elbit will supply hundreds of radios for both dismounted soldiers and combat vehicles. The selection of the E-Lynx static radio followed competitive technical and field evaluation by the Spanish MOD. Elbit Systems UK, our British subsidiary was awarded the $137 million contract from the UK MOD in January to provide the British Armed Forces with a future target acquisition solution for joint terminal attack, controllers and fire supporting under the dismounting joint fires integration of DJ Fire program. Elbit Systems UK’s DJ Fire Solution is a network target acquisition solution that acquires and communicate target information to artillery and close air support for effective engagement of precision and non-precision fires. The solution is imposed by AI and will interface with the radio systems of British Army, Royal Air Force and Royal Navy. In December 2020 and January 2021, we received three contracts from the Dutch MOD with a cumulative value of $89 million to supply all the Royal Netherlands Army with Software Defined Radio, command and control systems, Night Vision system and tactical computers. We believe that militaries around the world are keen to expand the cumulative and training capabilities to provide more realistic training that better prepared portfolio for wide range of scenarios at lower costs. In January, we were selected by the Hellenic Ministry of National Defense to establish and operate the International Flight Training Center of the Hellenic Air Force. It’s part of an agreement between the defense ministries of Israel and Greece following an international competitive tender. The contract award is contingent of completion of negotiation with the Hellenic Ministry of National Defense. In January, Elbit System UK was awarded US$166 million contract -- 12-year contract for the UK MOD for the Royal Navy Future Naval Training Program as part of the Fisher consortium led by Capita. Elbit Systems UK is a provider and integrator of training solutions for the consortium and will develop a new combat system operator training in the future submarine school and modernize and manage legacy synthetic training systems across the Royal Navy. In November we were awarded a US$96 million contract to supply in European countries with a Rotary-Wing Mission Training Center and support services to train its Air Force, Army and Navy helicopter pilots and crews. Elbit Systems was a pioneer in unmanned aircraft market and we supply about 80% of the Israeli Defense Forces unmanned aircraft systems or UAS. Elbit Systems US has accumulated decades of probation of service and have been selected by more than 30 different customers in five continents. As this technology has matured we have upgraded our offering and now supply integrated fleets of UAS and platforms like the Helmet Mounted StarLiner that will certify -- will be certified to operate in civilian aerospace. In December, the Canadian Government selected the StarLiner to support maritime environmental protection missions in the Arctic and along the Canadian Eastern and Western Coast. In March, we were awarded a $300 million five-year contract to provide Hermes 900 Unmanned Aircraft Systems, subsystems, as well as maintenance and support services to the country in Asia. We are also transitioning our autonomous system technology and experience to the land and naval domains. Our civil unmanned surface vessel or USV is operational with the Israeli Navy and in generally we were received a contract to supply civil USVs to the navy of a country in Asia-Pacific. Under the contract Elbit Systems will provide civil USVs that are specifically configured to perform mine countermeasures missions, while facilitating the option to aid antisubmarine warfare technologies models. Elbit Systems had a large portfolio of solutions for armed vehicles and tanks including manned and unmanned turrets, active protection, target acquisition, fire control and communication systems. Our combat technology demonstrator integrated the latest generation of legacy capabilities and new technologies for combat vehicles. These include our Iron Fist with Active Protection Systems in RNLA division that provided the crew with 260-degree vision from inside the vehicle. In generally, we announced US$172 million contract to supply Sabrah Light Tanks to the army of a country in Asia-Pacific. As a prime contractor, Elbit Systems will supply Sabrah Tanks based on general dynamics tank ASCOD platform and/or the wheeled Pandur 8x8 platform manufactured by Excalibur Army from the Czech Republic. Both platforms will be -- with 1305 millimeter target in the range of Elbit subsystems including electro-optical sights, fire control systems, TORCH-X battle management systems, E-LynX Software Defined Radio systems. The 30-ton Sabrah Light Tank provides a unique combination of powerful fire capacity and high maneuverability. In February, we received a $46 million contract to supply 6X6 Armored Personnel Carriers or APCs to the army of a country in Asia-Pacific. The 6X6 wheeled were developed by Iveco Defence Vehicles in cooperation with the Brazilian Army. As a prime contractor Elbit Systems will be equipped the APCs with turrets and range of the company’s subsystems. We will contract it by BAE Systems Hägglunds in February to supply Iron Fist active protection system and electro-optical commander sights for the Royal Netherland Army CV90 armored combat vehicles modernization program in a contract worth $82 million. After a1 long period of investment building our portfolio and expanding our global presence in the naval arena, Elbit Systems is well-positioned to capitalize on the growing demand is increasingly contested maritime domain. Navies around the world are increasing their investment in a broad range of capabilities to improve the protection of the retail interests and provide strategic deterrence. On 23rd December, our U.S. subsidiary, Elbit Systems of America signed a definitive agreement with Cerberus Capital Management to acquire Sparton Corporation. Sparton develops and supplies electronic sensors that support undersea warfare for the U.S. Navy and Allied Military Forces. The transaction is conditioned on various clause and conditions including receipt U.S. regulatory orders. I would like to take this opportunity to invite all the participants on the call and our shareholders on the whole to our Investor Conference on April 6th. The conference will be virtual due to the COVID-19 pandemic. The conference will focus on the long-term trends of the business, including a discussion on growth engines and innovation. In summary, our backlog continues to provide us with good visibility and we continue to see significant potential around the world for our leading high-tech technology solutions. And with that, I will be happy to take your questions. Operator?
Operator: Thank you. [Operator Instructions] The first question is from Greg Konrad of Jefferies. Please go ahead.
Greg Konrad: Good morning. Just to start, I mean, if you could talk a little bit about 2021, I mean, you had a very strong booking year. When you think about the mid single-digit growth target long-term, what type of book-to-bill is required to support it and has there been any change in either duration or makeup of orders that change that dynamic when we think about backlog conversion in 2021?
Yossi Gaspar: What -- I would say the following. You know that we do not provide guidance. However, the growth in our backlog of more than 10% this year does give us some indication about what can happen in the next year and a half to two years. But this backlog is going to be transformed into revenues. No doubt about that. So, yes, in the past we were talking about the mid single-digit growth. However, the strong growth in the backlog may affect that. To what level, I am not sure we are in a position to give you any guidance on that.
Greg Konrad: That’s helpful. And then, I mean, you called out the strength in airborne on precision munitions and training and simulation, and kind of the growth in inflected up in Q4, and I know there’s been a little bit of headwinds on the aero structure side. I mean has that business reset higher, were there kind of one-time items or how do you kind of think about the momentum as we look at Q4 growth rate for airborne systems?
Yossi Gaspar: Well, the airborne systems in general for military platforms we feel very comfortable with that and the growth in the backlog includes also growth in that area as well. There’s a small piece of airborne which is commercial avionics, which does not grow actually in 2020 there were -- we did reassess our business lines on this aspect because of the pandemic. But this is less than 5% of our revenues in the airborne part. So the military part is growing very nicely.
Greg Konrad: Okay. And then just last one for me, I mean, in your comments you talked about the phasing of cash flow largely dependent on Israel and you had a very strong Q4, but for the year the receivables were quite a headwind. I mean, is there any way to at least bracket kind of what you are thinking for this year or maybe some of the ranges based on how working capital trends?
Yossi Gaspar: Well, as you probably know and we have still spoken about that in the past, the cash flow item is a high priority in our management the way we address it. We put a lot of emphasis in creating free cash, and yes, the Ministry of Defense here in Israel is lagging behind to some extent. However, we believe that in the future once things start stabilizing in Israel, the part will also come through. All the other aspects, cash management is a very important part of our focus in the business management.
Greg Konrad: Thank you.
Operator: The next question is from Pete Skibitski of Alembic Global. Please go ahead.
Pete Skibitski: Hey, Rami, and good afternoon.
Rami Myerson: Good afternoon, Pete.
Pete Skibitski: Guys -- yeah. Guys just stay kind of top level, obviously, we had the election yesterday and it’s still early, I think, a governing coalition has to be formed. But do you have kind of any early indication of where Israeli defense spending may trend today versus yesterday? And to the earlier questions on cash flow, does this give you any greater clarity on MOD payments?
Butzi Machlis: Yeah. Pete, as you rightly said, we are still waiting for the final results and we -- because of the political situation here in Israel, actually there was no five-year planning for -- no active five-year planning for the IDF and for the last year or more and because of that they also owe us some money. But I am quite confident that first they will pay everything they owe us, as Yossi mentioned earlier. And there is no doubt that as far as yield planning program for the IDF will be activated and particularly we are already seeing first signs of new contracts here in Israel as well. So I am not concerned at all about new programs in Israel. We are -- we have very good positions to secure new contracts for the company here in Israel in the near future and I don’t see any risk associated with the amount of money they owe us and 100% confident they will pay soon.
Pete Skibitski: Okay. That’s very helpful. Thank you for that. And then, just another thing I wanted to get clarity on top level is, we talked the last couple of quarters just about the impact of COVID in terms of slowing travel, slowing business development and signing of contracts and deliveries. Can you compare the progress you are seeing or not in terms of the ability just to conduct business in a COVID environment and from fourth quarter to maybe extrapolating forward to the first quarter and second quarter? I know it seems like Israel is doing really well with the vaccination. So I am sure that’s helping. But globally there seems to be some issues out there still. So I was just wondering if you could just characterize the ability to conduct business now versus maybe last quarter?
Butzi Machlis: Yeah. Pete, I must say that we do not see any significant impact on the COVID on us on our business. On the contrary the fact that we have subsidiaries, dozens of subsidiaries around the globe is a huge strength to the company. Because one of the reasons to make acquisition programs is of course military means, but there is also another within which is important to understand which is to support local economies and to create jobs in countries around the globe to deal with the economic crisis and its unemployment level of the countries. The fact that we have dozens of contracts around the globes -- around the globe help us to continue its dialogue with our customers continuously and also to get new contracts to support their local defense needs and also to support their local economy requirements. So we see a lot of potential. We don’t see any issues with supply chain. We had some issues in the second quarter last year when it just started but we overcome them quite quickly and the funnel of new business of the company is very big, actually it’s the biggest we ever had. So I am quite optimistic about the future.
Pete Skibitski: That’s great. That’s great. Okay. Appreciate the color. Let me just ask one last one and I will get back in queue on Hermes, which seems to be doing very well. You had the big $300 million contract earlier this year? And then also I wanted to just understand, the deal with Canada for the Hermes, is that a lease deal? And then also can you just talk about this arrangement with Korea, KAI? I don’t know if that means the potential for kind of current Hermes sales or development of a new unmanned system, so I just was wondering if you could provide any color there?
Butzi Machlis: Yeah. With the Korea and KAI, its cooperation in the market of UAVs in the country and around and we are discussing the promoting our current portfolio as well as adaptation for the local needs. And with the Canadian program of StarLiner, it’s a kind of list of the new StarLiner platform that we have.
Yossi Gaspar: Combination.
Pete Skibitski: Okay. Okay. That’s great.
Butzi Machlis: Maybe I will let Yossi to elaborate a bit more about that.
Yossi Gaspar: It’s a deal that’s combining some elements of lease and sale of services.
Pete Skibitski: Okay. Okay. Understood. Understood. Okay. Last one for me actually and I won’t get back on. But, Yossi, while we have you, I thought you guys did a great job maintaining margin rate in 2020. It seems like in 2021, we will have some additional volume. I don’t know how mix will trend in 2021, but do you have any sense or any color as to how we should be expecting margin rate to margin rated trend in 2021? Maybe give us a sense of performance and mix and volume how that all kind of shakes out?
Yossi Gaspar: Well, you know that we do not give guidance. However, there are three elements to consider impacting that that this parameter. One is a negative one and that is the currency rate here in Israel which compared with the U.S. dollar is a very strong shekel, which does affect our cost of labor. That is the negative part. On the positive part, there are two elements. One is the ongoing continuous improvement in operations, including the operation of UI -- ERP system that supports improved yields, improved production, costs and so on. And the other element, which is also positive and that is growth of the company, which not necessarily carries growth in overheads -- corresponding overhead. So all these put together, I would say, we would be disappointed if we do not see a positive result coming out of all of that, but yeah -- but I am sorry, we do not give you guidance on that.
Pete Skibitski: No. I appreciate the color very much. Thanks very much guys.
Butzi Machlis: Thank you, Pete. I just -- Pete, I just want to add that we announced the organization of the company a few months ago and that’s in order to increase efficiency and reduce G&A and get more synergy between the different activities of the company. I am sure it will help also to the bottomline.
Pete Skibitski: Right. Great. Thank you, guys.
Operator: The next question is from David Winters and Liz Cohernour, Wint -- from -- of Wintergreen Advisers. Please go ahead.
Liz Cohernour: Hi. This is Liz Cohernour. And we have been a shareholder for approximately five years and have long admired the company’s management, business models and disclosures, your sense of responsibility and corporate growth through acquisition, which we know does take some time to integrate everything into what’s going on and I noticed that Elbit is part of I think two indexes in Israel. A question I have has to do with the difference between that experience and a company in the U.S. that could have far lesser quality management, business, finances, operations, and just for being part of an index, they seem to have the stock price bounced along and grow upward. Could you comment for me on the difference between the impact of the index or what it is that distinguishes you as I believe a finer company for many others?
Rami Myerson: Liz, this is Rami. Thank you very much for the question. I think that the -- we need to be taken into account. There is the technical of being listed on various indexes in various geographies and the eligibility of a particular company to be listed. At the moment, we are listed on -- in -- within indexes of a Tel Aviv Stock Exchange. In the U.S., we are listed on pure indexes, because at the moment, we are not eligible to be part of those indexes. But I think there is a big focus on the business operations is that to be a good business regardless of whether or not we are part of a specific index.
Liz Cohernour: Thank you. I was just curious. The index seems to be a big driver. But my personal preference is certainly for quality businesses at a good price. So I thank you for your work and for your response.
Rami Myerson: Thank you very much, Liz.
Butzi Machlis: Thank you.
Rami Myerson: We have received a question offline from Dina Korshunov from Leader and she would like to know what the status of the integration of IMIs?
Butzi Machlis: The integration is going well. As -- we are actually, just want to remind all of us that with the Active Protection Systems, Iron Fist Active Protection Systems for IMI is very successful under Elbit, actually we are integrating it into a full suite of solutions for land forces. And we won here in Israel the competition to provide active protection system for the 8x8 vehicle APC of the IDF and we won contracts in The Netherlands as well together with sights on Elbit. This is just one example. We are integrating the munition activity of IMI with our guidance capability with Elbit to provide guided munitions solution for our customer. And we have a lot of success in many countries to provide new guided munitions, including countries in Europe. And we are also working hard to combine the different IT systems into one -- into the new ERP system that Yossi mentioned earlier. And we are also working together with the Minister Hill to shift part of the production activity of IMI from the center part of the country to the South, we are building new facilities there, actually we just started the walk on the ground just recently. And we are aiming to shift the production activities to the South around 2024 and this will help us to get more profit and to be more efficient and out of the fact that we are investing in new production lines and new technologies. In the past IMI brought most of the business from the Israeli model, about 80% of the business came from Israel and 20% came from export. Today, after we integrated their portfolio into ours and we are working via our subsidiaries around the world and via Elbit marketing activities, I am happy to say that more than 50% of the new businesses are coming from the international market and not -- and from the -- part of it from the U.S. and part of it from European countries. And I am quiet convinced that they will reach the 80% export like the rest of the organization quite some. We continue to improve the profits of the company. Actually we are exceeding our plans -- our original plans. So once again quite soon I believe this we will be able to bring the IMI bottomline to the bottomline of the company. So I am quite pleased with the integration.
Rami Myerson: Thanks. Operator?
Operator: [Operator Instructions] There are no further questions at this time. Before I ask Mr. Machlis, I am sorry for that. There are no further questions at this time. Before I ask Mr. Machlis to go ahead with his closing statement, I would like to remind participants that a replay of this call will be available two hours after the conference ends. In the U.S., please call 1-888-782-4291, in Israel, please call 03-925-5900 and internationally, please call 9723-925-5900. A replay of this call will be -- will also be available on the company’s website at www.elbitsystems.com. Mr. Machlis, would you like to make your concluding statement?
Butzi Machlis: I would like to thank all our employees again for the continued hard work particularly in these challenging times. To everyone on the call, thank you for joining us today and for your continued support and interest in our company. Yossi and I look forward to speaking to you at our Investor Conference on April 6th. Have a good day and good-bye.
Operator: Thank you. This concludes the Elbit Systems Limited fourth quarter and full year 2020 results conference call. Thank you for your participation. You may go ahead and disconnect.